Executives: Åse Lindskog - Head of Investor & Analyst Relations and Vice President Hans Vestberg - Chief Executive Officer, President and Director Johan Wibergh - Executive Vice President and Head of Business Unit Networks Magnus Mandersson - Executive Vice President and Head of Global Services Business Unit Jan Frykhammar - Chief Financial Officer, Executive Vice President and Head of Group Function Finance
Analysts: Pierre Ferragu - Sanford C. Bernstein & Co., LLC., Research Division Alexander Peterc - Exane BNP Paribas, Research Division Matthew Hoffman - Cowen and Company, LLC, Research Division Simon F. Schafer - Goldman Sachs Group Inc., Research Division Stuart Jeffrey - Nomura Securities Co. Ltd., Research Division Odon de Laporte - CA Cheuvreux, Research Division Mark Sue - RBC Capital Markets, LLC, Research Division Andrew M. Gardiner - Barclays Capital, Research Division Achal Sultania Francois Meunier - Morgan Stanley, Research Division Sandeep S. Deshpande - JP Morgan Chase & Co, Research Division Richard Kramer - Arete Research Services LLP
Operator: [Audio Gap]
Åse Lindskog: Thank you, operator, and hello, everyone. You're all very welcome to our call today where we will comment on our third quarter report. And with me here today I have Hans Vestberg, President and CEO of Ericsson; Jan Frykhammar, Chief Financial Officer; and Johan Wibergh, who is Head of our business unit Networks; and then we have Magnus Mandersson, Head of our business unit Global Services. And then to start with, I have to make the usual reminder that we do in the call today. We'll be making forward-looking statements. These statements are based on our current expectations and certain planning assumptions, which are subject to risk and uncertainties. The actual results may differ materially due to factors mentioned in today's press release and discussed in this conference call. I also encourage you to read about these risks and uncertainties in our earnings report and our annual report. And so with this said then, I hand over the call to Hans Vestberg.
Hans Vestberg: Thank you, Ase. Let me start to summarize a little bit about the key developments in the quarter, some a little bit longer term and some shorter term. It's, of course, quite difficult to boil them down. It's happening quite a lot in the industry for the moment. But let me start with that we see a growing interaction with our customers when it comes to focus on network performance as a key differentiator. This, of course, driven that consumers expect a very good experience when it comes to using their smartphones all around the world. And this is also very important for us because this is what we have been focusing on as a company, both from technology and from a service point of view to support the customer in. Johan will talk a little bit more about that later on. We also passed in the quarter 1 billion smartphones and was, I will say, that is a remarkable of course, development on that type of evolution. We also saw some flagship brands coming out with 4G phones, which also is, of course, solidifying that this is an industry where smartphones will be extremely important in the future. And when it comes to the macroeconomic situation as we all can see and read, there are of course some further slowdown and projections for the future. We have the same patterns as we've had before. Part of Europe being slower than some other markets, especially the ones that have some political unrest or impacted investing lower at the moment. But it's just that you need to highlight this. We are close to our customers to see what's happening. But it was more important in, of course, the fundamentals in the industry, the long term and the usage of the networks, how is the usage happening. And the underlying usage of the networks, that is continued to be an important parameter for us. We're also seeing, in this quarter, consolidations maybe not Europe where it might be even more important. But we're seeing the newest cross-border and in-country. This of course important parameter for us as we are main suppliers for many of these consolidators. I would say the most recent ones, we are the main supplier to all of them. So this is important for us to be part of that. And if there are, approve this transaction to support them in that transaction transition and to get the benefit they are expecting. If I just dig down to our financials if the SEK 54.6 billion in sales, down 2% compared to last year and 1% sequentially. That means that we are fairly stable on the top line between both year-over-year and quarter-over-quarter. As we know, the shift then inside the sales is growth in services and support solutions and declining growth in networks. Very much the same patterns as we had in the second quarter. There also market that has developed favorably. I would say, in the quarter, our networks North America is sticking out on the positive side. We saw the same pattern for Europe and China and Russia. Korea is somewhat new here. There is more about that. We had a strong last year. CDMA can just confirm that we're able to have said before. The plan that were sort of expected decline has happened and we're down 50% in this quarter as well. Profitability, our folks in OpEx are paying off for comparable units down 7%. Net income down compared to last year with 42%, down to 2.2. But if we look sequentially, it's up 81%. And of course, here we are driven of both improvement in services and somewhat in network. And of course the JVs is helping us as well, whereas Ericsson had a less of a loss in the quarter. We've said it before, we are not satisfied with the profitability. But we have with consciously [ph] come to the situation where we have invested in market share and also both geographically in R&D. And we are now in the sort of in the process of executing on all those projects we have. So it's basically no surprises. We are in the midst of the modernization and we have a high degree of coverage projects. And I choose to continue to work and, in that sense, we all continue to look proactively for efficiency gain cost reductions as we've done all this year, but we will just continue with that because that, we believe, we can control ourselves. The market is around this of course, we will see. But definitely we will continue with the cost reductions as we have done before. By that I hand over to Johan to talk about Networks.
Johan Wibergh: Thank you, Hans. So let me briefly then go through Q3. So overall on top line, the net sales were down 17% year-over-year. Looking on quarter-over-quarter development, it was down 3%, which is in line with normal seasonality. We saw a good development on top line in North America despite the heavy reduction on CDMA. In Europe, we have lower sales impacting both by modernization, but also cost on the economic, general economic climate in Europe. China then we had low GSM sales, among other things, as China Mobile has communicated a focus on 3G investment instead, as well as we have lower 3G sales in Russia. In 2011, we had a huge 3G rollout project that ended last year. And hence, we had then a decline in our third quarter of this year. As said, CDMA sales were down 50% year-over-year in line with what we had expected. It amounted to SEK 1.6 billion in the quarter and now also then being dilutive to the operating margin. Overall then, we had an operating margin of 5% in the quarter. It's down significantly compared to a year ago, 13% higher, but then it's a stable quarter-over-quarter development. It was of course, impacted by a seasonally low OpEx and also a lower software sales share. Overall, in sales, we're down. And this also has an impact. We are top line-sensitive even though, we had a very high activity level overall in view to all the project. Operating margin was also negatively impacted by the underlying business mix, and there are still more coverage than capacity projects. And as we said many times before, the European modernization is still having an impact. Moving down to the next slide. As Hans was referring too earlier then. It's really encouraging then to see that the increasing interest from operators on superior performance and also what we can see on some independent research showing that superior performance of networks gives a superior return to the operators on that. And this is really how Ericsson competes today on providing superior performance. So this is driven both by, I would say, a general trend by operators, and also by new devices coming out and new apps being launched that really requires a good performance of the network. This is not only leading to LTE even though that maybe most of the headlines come around LTE. We see then an increasing interest and need for investments in HSPA, both increasing speeds, but also more capacity coverage and area. And this has very much been driven by the 3G smart phones are significantly cheaper than LTE smartphones. It's also extremely encouraging to see then that more and more operators are introducing TF [ph] pricing plan, leaving flat rate for data, which gives them an increasing top line and profitability around wireless data, which is really healthy change in the industry. So that is quite encouraging. Another interesting development during the quarter, has been the LTE in Latin America. And several countries now, some in Caribbean, we have Mexico, Chile, Brazil have awarded contracts during the last month. And if we feel really encouraged to see that we have gained more than 50% of market share in LTE in Latin America. So we have to keep in mind then that we have been in the range of 60% before when it has been decided in countries like U.S., part of Europe, Korea and Japan. Latin America is traditionally a very competitive area and we feel really encouraged by getting more than 50% in that area. Another thing that feels very good is the positive feedback we have received from customers on our smart services router. I mean that is our investment in IT. It's a product we launched end of last year. It has gone into commercial operation this year. It has been evaluated by many operators. We announced after the second quarter that we had secured 7 commercial orders. I can now say that we have 20 commercial contract orders and we have several more in finalizing. So this is extremely good. This is extremely encouraging. And it's clear that we have the biggest capacity on a mobile packet core equipment. And the architecture we had chosen to handle both mobile and text has been extremely well-received. Our internal change is that we have a 2 business units. One for CDMA, another one for the rest of the networks unit. They are being merged 1st of January. These do not change the external reporting. We have been reporting it together as the Network segment. But we just wanted to make you aware about that. Finally then, I feel extremely good about our overall position in the market, the portfolio, the performance, the improved quality. I think we're executing extremely well on that reduction of capital tied up in the supply chain. The area where I'm not happy is on our profitability it's a strong focus and I will come back on the Investor Day on some of the activities we are doing to work on that one. And with that, over to you, Magnus.
Magnus Mandersson: Thank you, Johan, and hello, everybody. Yes, we ended the quarter with SEK 24.3 billion in sales which is a 19% growth in the business. And currency adjusted, it's 16%. I would say that we have a strong momentum across our business lines. Very well-driven by the Professional Services, increasing 11% year-on-year. Managed Services continues to have a strong momentum. And we concluded with 11 new contracts in Managed Services, going up 19% year-on-year. We're also seeing a strong development in Network Rollout. We have very heavy activities in Northeast Asia. In Europe, North America and sub-Saharan Africa. So we're seeing very strong increase and high project activity. And we're also seeing, of course, that we are getting better and better in industrializing our data Network Rollout and taking care of the data explosions that's happening out in the Networks. When it comes to our margin improvement, we can see them a year back. We had about 9%. We're now doing 8% on Global Services. However, it's sequentially we're going from 6% up to 8%. So we are concluding a better quarter sequentially. And that, I think, is encouraging. Professional Services continues to gain momentum. Excluding the restructuring, we're actually delivering 16% operating income. We had a high activity on restructuring, 2% take away, so 14%, which is in line with a year back -- or, sorry, a quarter back. Network Rollout I think Q-on-Q here we decreased the losses from 11% to 6%. Then again, the industrialization is paying off in the projects that we are delivering. And of course we have a somewhat better project mix there. So all in all, I think we have a good momentum and I will come back with more details on the capital market days. We will continue to drive our efficiencies in the business and continue to improve sales and profitability. Thank you.
Hans Vestberg: Thank you, Magnus. I think, Support Solutions, we had 40% growth in Support Solutions and excluding -- or making it organic. It was 4% driven a lot about from the BSS area, the Charging area. But of course, also we added the sales from Telcordia here. Operating margin 14%. That has onetime effect there or a divestment of IPX if you exclude then, we're at 7%. Still clearly, a shift in the profitability over Support Solutions, so now have had a good profitability both in Q2 and Q3. We are in transformation here in this business and we have the new acquisition in the third quarter, which was concept wave. That is adding together Telcordia and our own asset in the OSS area. A very strong position together with services to be the IT provider of the IT Networks of the operators to really be in there and support the mini-transformation for this mobile broadband and mobile broadband charging war that we're going into. So that concludes Support Solution. Quick on the regions. We'll not go through all of them. We have highlighted North America. 6% growth despite the CDMA, but it's not only in the structure. It's also services. Sub-Sahara growing 11% coming back from having being down for quite a while even though from low levels. We have now seen a growth there. China, Northeast Asia was mentioned. Johan mentioned China. I mentioned Korea. Those are the 2 important regions there. On the other hand, of course, we have also have high activity in this region, for example, in Japan. The best growing segment is Other. And the reason is we have -- here we report Technicolor that we acquired in the quarter. So they are reported in Other. Other things included here is of course IPX, which resides in Support Solutions. But from the fourth quarter, that's divested so it will go out from the other column. And then we have the IPRs and licensing in there as well, which added stable development in the quarter. So I leave it over to you, Johan.
Johan Wibergh: Okay. Thank you, Hans. Good afternoon, everyone. So let me then talk about the P&L and the balance sheet before we open up for a question-and-answers. So we have, on the P&L side, important again to remind everyone that the business mix is the key to the gross margin dynamics. We have 3 very important elements that-- for to understand our gross margin development. One is the business mix. Again, that has to do with coverage and capacity projects. We also have the modernization projects in Europe and the services share. During this quarter, if we compare with the second quarter or third quarter of last year, we have seen an increase in our Services business, which has an impact on the gross margin. Also in this report, we disclosed how big that impact is which I think is important for you to understand. Overall, Global Services adds to the stability of our operating profitability. And overall, as Magnus said before, you can see how that operating margin and EBITDA margins have improved and also been. And so it's an important enabler for stability on our operating earnings. If we then look at the underlying business mix, I know we have said this before, but we will continue to say this to you until we see that there is a change happening. And that is that the current business mix with higher share of coverage than capacity projects is expected to prevail short term. And we also have the restructuring charges in the quarter of SEK 0.6 billion. Main amount of these restructuring charges has to do with the service delivery transformation that Magnus mentioned and that we also will talk about in the Investor Day. We also then say that our estimates for the full year of SEK 4 billion of restructuring charges remain. So this means that we estimate to have a higher restructuring charge in the fourth quarter, but we also think then that, that will be more evenly displayed between operating expense and cost of sales. If we look at the operating expense. So if we compare apples-to-apples, operating expense is down 7%. Also in absolute numbers, it's down slightly. We have reductions in both R&D, and selling and G&A. All in all, our operating margin in the quarter was 6.7% compared to 11.3% a year ago. But if we compare with the second quarter in absolute numbers and in percent, our operating margin has improved. If we then take a look at ST-Ericsson, we have -- the joint venture is still in a challenging situation, but we have seen an improved performance in the third quarter. And we start to see impact now of the ongoing transformation work aiming at lowering the break-even point. And that's also visible in the numbers. We also continue to believe that the ST-Ericsson has a strategic position in the industry to enable the device ecosystem. On this slide, we also highlight the exposure, if you will, that we have towards the joint venture. And you can see that the investment in the ST-Ericsson in the quarter then is SEK 195 million and the loans to ST-Ericsson is SEK 4.5 billion. If we then go to the balance sheet, we have the, as expected a good development on collections in the quarter. Because we had, if you remember, we had a good end of second quarter, meaning a strong sales in June. Those money were collected. So we have now an operating cash flow in the quarter of SEK 7 billion. When we look at operating cash flow, we look at this on a full year basis. And that we have mentioned before quarters may vary. And we have also had some headwind, some tailwind on the balance sheet here. Thanks to FX. Overall, I want to say that the inventory level continues on a high level and that has to do with the project activity. So I think that's important to know. If we look at the gross cash, we had -- thanks to the good cash flow from operations, we managed to deliver a net cash improvement in the quarter of SEK 3.1 billion. Gross cash 2.4. In the investing there, you see slightly more than what we usually have and that is related to 2 of the acquisitions we made. Then we continue to diversify our funding sources and we have announced a new loan from Nordic Investment Bank. And also after the closing, we have -- of the quarter, we have announced the European Investment Bank. So we continue to prolong the debt maturity profiles, and this was -- so this year we have really succeeded in prolonging the debt maturity profiles. And at the same time, not increasing the gross debt, without which I think is work well done. Thank you. Now, to Hans again.
Hans Vestberg: Thank you. We'll do a quick summary. It will be basically -- or it will be the same slide as we showed last quarter. This is the focus for the executive team and the whole Ericsson. The strategic execution we're into with the investment we have done to make the profitable growth. I think we all are committed in that and working very hard to do it. But of course, leveraging all our strength in the mobile broadband, in the Managed Services, in the OSS and BSS, we'll know how to do it, great positions and we are really seeing that. We are executing well on those projects and those footprints again. We will, as I said before, continue to proactively look for cost and efficiency gains. That's part of our daily work. And we have done it so far this year. We will just continue. That's a part where we can control. Johan has already talked about what we have as an expectation of forecast for restructuring charge for the year. So we will -- so we have some more to do here. And it all boils down to the 2 pillars of our strategy, that's the technology leadership and the service leadership. And that we really are emphasizing in anything we do when it comes to customer engagements, how we invest, how we execute on our strategy. So all in all, that's a short summary we will have the focus. And as you see on the last slide, and Magnus mentioned it as well, we have the Investor Day in November 6 and I hope that many of you will join that. By that, I hand back to Ase.
Åse Lindskog: Thank you very much, all of you. And after these presentations, we're ready to take questions. So operator, you may now open up the line for our Q&A session.
Operator: [Operator Instructions] Pierre Ferragu from Bernstein is on line with a question.
Pierre Ferragu - Sanford C. Bernstein & Co., LLC., Research Division: I just like to have some clarification on CDMA. So you have SEK 1.6 billion reported in the quarter. And I assume that it includes your 2 CDMA clients in the U.S. and I would like to understand how directionally your gross margin for CDMA has been evolving over the last couple of quarters. Because I would assume that you had a ramp up of the modernization project at fairly low margins and a rundown of more like upgrade-type of works at a higher much margin. So is that fair to assume that the CDMA gross margin contribution came down a lot in percentage terms over the last 6 months?
Jan Frykhammar: First of all, just to conclude the fact. You're right. Our turnover on infrastructure on CDMA is SEK 1.6 billion in the quarter and that's a 50% reduction. We also say that operating margin is lower than average in networks in the quarter. So your conclusion is right. That we have come down in the gross margin on CDMA due to what type of projects we're delivering. I have to say.
Operator: Alexander Peterc from Exane BNP Paribas.
Alexander Peterc - Exane BNP Paribas, Research Division: Just a small one regarding seasonality. Do you expect a more normal seasonality this year in networks in Q4 compared to last year's Q4, which was quite abnormally low? And then just a more fundamental question, gross margin. I understand that you had quite a few completions closing in the just-reported Q3 and that had an impact on the gross margins. Were any of those European modernization deals? And if so, would you expect in Q4 a bit less than the usual gross margin seasonal decline? In other words, do you expect a slight relief from less modernization in the mix already in the current quarter?
Johan Wibergh: It's Johan here. I will try to answer your 2 questions. If we look at the Network business, excluding CDMA, we have -- I mean, if you look at it from last year's point of view, we basically did not have any seasonality in that business. We had a big business mix shift between first half and second half. Then when it comes to seasonality in the networks business this year, excluding CDMA, I mean I think that it's -- as we have said several in the report in the third quarter, we had quite normal seasonality. Let's see what the fourth quarter will bring. We will come back in January to report that. Then, on the gross margin overall, we have -- we said and it's also visible in the Network Rollout sales growth that we have a good or high project activity in this quarter. Typically, we are right in that. Typically our fourth quarter contains a bigger portion of project completions. I want to be clear that we see also that we have had a significant amount of project completions in this third quarter and then let's see what the fourth quarter brings. But again, we have a high activity level in Network Rollout. And we had quite a big amount of project completions already in the third quarter this year.
Operator: Matt Hoffman from Cowen is now on line with a question.
Matthew Hoffman - Cowen and Company, LLC, Research Division: Another question on the gross margins and the competitive environment. Historically, when we've seen Ericsson's gross margins dip, we've seen other wireless network OEMs struggle, maybe even exiting the market, be it bankruptcy or consolidation. This past quarter, Nokia Siemens improved it's margins though while your margins are still suffering, especially in Network. So the question is, what's going on with the competitive environment right now? Do you think this is just a short-term dynamic or is it really a longer-term where, in a sense, may be caught you [ph]?
Hans Vestberg: I won't try to comment on the competition, what they are doing or not. I can only come back to what we are doing. And remember on the gross margin, we need a little bit quarters where we analyze that because the mix here is so important with the high NRO [ph] services where that is taking down the gross margin. But it's clear that our gross margins, even in Networks, is down given the modernization and higher portion on coverage. I think that the competitive landscape for me -- if we look 5 to 10 years is dramatic changes. If you look quarters, it's not much changes for us. I think on 5 to 10 years, basically all competitors has been changed out and we have new ones. And if we look the last quarter it's pretty much the same. Then they're coming back in different strengths in different quarters. The focus on this executive team is to run our strategy and our execution because we have learned now during the years that it will change who is competing and strong and week in this industry. We just need to see that we continue to excel in what we are doing so we can extend our leadership. That's really where we are focusing.
Matthew Hoffman - Cowen and Company, LLC, Research Division: So, on follow-up. You'd say that overall, structurally in the marketplace, gross margins, and Ericsson's gross margins in particular, the dynamics really haven't changed for you guys over the last, we'll call it, 12 months or so in the networks hardware side?
Hans Vestberg: I think of course, it has changed. And that's what we're commenting on that. We have a much higher degree of modernization. We have -- #2, with the networks, we have much more coverage than capacity. And #3, we have a decline in CDMA. So you have those 3, of course, impacting our gross margin. But on an overall business models that we've been talking on before when you got in, you were in to the network, and of course that's when it's the highest competition. And then over time of course, then you should be able to leverage on that install base. That means the business model has not changed.
Operator: Simon Schafer from Goldman Sachs.
Simon F. Schafer - Goldman Sachs Group Inc., Research Division: Simon Schafer, Goldman Sachs. I actually have a bigger picture question. You started talking to us about some of the margin-dilutive effects from a mix point of view. I think in Q1 2011, at the time, you cited that mix that could last probably 18 to 24 months. I guess we're in month 18 now. So does that still mean -- does this still think in the next 6 months, you're going to see a meaningful fade of those mix effects? Or is the timing of that changed? I guess I'm just trying to get an understanding as to, apart from the revenues environment of course -- which perhaps is tougher just because some of your customers' cash flow and so on. But aside from that has anything changed in the timing?
Hans Vestberg: Remember we started to talk about these in Q4 2010, that this will happen. And we were a little bit overestimated how quick it could start. So of course, they would distribute it over time. In average, we talked about that they are 18 to 24 months. That is still valid. We just kick it off a little bit slower. It was a little bit complicated in the beginning there to set up the project. So the 18 to 24 months still is valid. And what we say right now, that by year end or end of fourth quarter, we will see a gradual those projects decline. But of course, some were started in the second quarter or the first quarter this year. So some will also continue. But we will now see from a full base that there will be a gradual decline. But of course, some were started much later than in the beginning of 2011.
Simon F. Schafer - Goldman Sachs Group Inc., Research Division: My second question would be actually along the same lines of what was asked previously in terms of competitive dynamics. I guess in this sort of land grab environment that the industry is finding itself in, from your point of view or your competitor, how aggressively are you willing to price and what sort of margin discounts are you willing to take in this environment? I think you called out Lat Am very specifically with a 50% market share plus. But how aggressively are you willing to be from an incremental margin perspective?
Hans Vestberg: I think, as we said before, we had the target of increasing our market share in the European modernization. We were clear on that. We start to talk to the market in 2010. We have achieved that. And last year, Johan reported increased market share in Networks to 38%. So we have a good market share, so that means that we are in execution phase on that market share. And then that also means that we will deal it with -- more cautious of taking new market share. But I think if you have a good product right now and good performance on it, you will also -- you will have the possibility to take market share, but not of the extent of any raises in margin.
Operator: Stuart Jeffrey from Nomura is now on line with a question.
Stuart Jeffrey - Nomura Securities Co. Ltd., Research Division: Again, sort of a pricing-driven question. A lot of your competitors seem to be talking about stepping back on pricing and saying the pricing landscape's become a bit easier. And services, you see in Alcatel and Nokia Siemens walk away from their commitment to Managed Services. So I was trying to understand whether you see any of that evidence yourself? And if so, how long it might take for this sort of pricing dynamics to actually show up in your underlying margins?
Hans Vestberg: Johan will a little bit on networks first, and I can come back on Managed Services. I'll just let Johan go first.
Johan Wibergh: I think the last 2 years we've gone through a big change in the industry. I mean if you go back 2 years, you had new entrants that wanted to get into the worldwide markets. There were some tough ambitions from the different vendors. And of course, that's been a very competitive climate. From our side and we decided to take certain market share that we reported on last year and it came with -- at a certain cost. We also then see how the competitive climate have changed. I think the best prices you could get in the industry, you could get them in 2010 and 2011. They don't exist anymore. Also I'm therefore was encouraged with the market share we have achieved in Latin America. That's why we choose to highlight that as one thing, which of course, is not taken at those type of price levels that you had in 2010 and 2011. And we still have secured a significant market share. And I think that also shows overall our competitiveness as a service. I think we have a very competitive product portfolio and services portfolio as a total company. We are competing and we are performing well. And we are also being much more or stringent on pricing point.
Hans Vestberg: On the Service side, we think we have a good model on our Global Services, Magnus and I here. So of course, we believe we can continue to grow that and has done so with the good margin. And then you're right, there are different vendors that are acting differently but that can go from 1 quarter to another. So I wouldn't comment on anything like that. We think we have a good model to grow in, in Service and Managed Services.
Magnus Mandersson: I think we are truly scaled to deliver globally and it's -- compared to the competition. I think we have a very, very strong local services organizations that, I will say, very experienced now in modernizing the mobile networks out there. We are seeing good across in all the sharing in between the regions and the global centers, which drives out cost. And at the same time, drives the completion rate higher than we have seen before. So we feel that we're on the right track.
Operator: Odon de Laporte from Cheuvreux is now on line with a question.
Odon de Laporte - CA Cheuvreux, Research Division: I had a question relating to your contract in SSR routers. I was wondering when do you expect this contract to impact positively the gross margin? Maybe next year, 2013 or later?
Johan Wibergh: This is Johan. We will see a gradual improvement. You should still remember that this business is still a lower volume in the overall Networks business. We don't really disclose the various parts. But I can say that we have had a positive contribution of margins already during the year of our router business. And, of course, it will continue to improve during the coming quarters.
Odon de Laporte - CA Cheuvreux, Research Division: And do you expect this to be a significant driver at the group level?
Johan Wibergh: We don't give any guidance on overall margins going forward. Of course, we still have a small market share today on the fixed [indiscernible] side. I mean if we are able to succeed in getting a bigger market share, that will contribute positively.
Operator: Mark Sue from RBC Capital Markets is now on line with a question.
Mark Sue - RBC Capital Markets, LLC, Research Division: On modernization, the thought has been that there will be some short-term pain for some long-term gain. Are we mostly finished with network modernization projects in Europe? And is there the same confidence from before that eventually margins will improve? And is your market share protected after you modernize? And is there some assurance that competitors won't resort to a similar strategy down the road to modernize what you've already modernized?
Hans Vestberg: First, I think we've heard a quite a lot of the modernization assets [indiscernible] 24 months [indiscernible]with the project and they will, starting end of Q4, gradually decline. That means they will continue some of them into contract [ph]. That we have not changed. Where the same thing we said on the first and the second quarter this year. So there's no change in that time frame. When it comes to the business model you ask about, I would say that if you perform, of course you have a great chance to stay in there for a long time. Because the market radio standard that we're deploying right now is of course having a great opportunity for optimizing frequencies, et cetera. But again, you need to perform. That's for sure. So it's not for granted. But definitely, the dynamics has not changed for the business model that we have.
Mark Sue - RBC Capital Markets, LLC, Research Division: If I could ask just on Europe where you are modernizing this project. Now the carrier environment there is actually more difficult than it used to be. These carriers are resorting to cutting their dividends leaving very little for CapEx and network upgrades. There is a financing from competitors now become an increasing concern. And how do you respond to that or how do you combat that? Because clearly, the carriers want cheaper alternatives.
Johan Wibergh: It's Johan here. On the consumer financing, you can see that we have about a little bit more than SEK 4 billion on on-balance sheet customer financing. We work very close with several export credit agencies and we have very good offering, total offering when it comes to customer financing following all the consensus rules and so forth. So I would say that our customer financing offering that we work very close with the export agency in Sweden, in Canada and also in Germany makes our way of working here, I think, a very competitive tool that we can use to win more business.
Operator: Andrew Gardiner from Barclays is now on line with a question.
Andrew M. Gardiner - Barclays Capital, Research Division: My question was on the Network Rollout side of things. You've indicated in your comments that this is amongst the busiest time that you guys can remember in terms of the level of coverage projects and clearly we can see that in the 38% year-on-year growth in Network Rollout. But as we look to next year and some of the modernization projects and coverage projects draw to a close, what can you see that is going to replace that nice growth that we've had in this revenue this year?
Hans Vestberg: It's not for us to guide on it. But of course, as we now are in the midst of all these activities and as you'll see in Magnus' figures, a total 38% growth in Network Rollout and probably the highest activity that we ever had in the third quarter. One might believe that it's -- we're not going to be on that type of activity level during 2013 in totality. So I think that we are in an unusual time. We are delivering more things than ever. We have larger projects than ever. And these are not small things. There are thousands of people, as Jan Frykhammar said on a conference call today pulling together, rolling out, not only technology. Putting together also everything around the site that works with antennas and everything. So this is huge works that it's undergoing right now. And we should probably not expect that it will be on that activity level on Network Rollout in 2013.
Operator: Achal Sultania from Credit Suisse is now on line with a question.
Achal Sultania: The first one is network modernization in Europe. Can you give us an update as to where we are with the execution of these projects? Is it 50%, 75%, and where we could be by the end of 2012? Any indication around that would be helpful. And also, how is the ramp of these projects going on? Is it accelerating or slowing as we move from Q2 to Q3? And then I've got a follow-up as well.
Magnus Mandersson: Johan will take this answer then because I think Hans has tried 3x. We will -- so what we have said all the time was that all projects that were won was in full execution in the fourth quarter of last year. In average, all of these projects have a duration of between 18 to 24 months. As Hans mentioned before, it was a gradual start of the project in can starting some projects in Q1 of last year. A few more in Q2 and even a few more in Q3 and then all were in execution in Q4. So -- and that's the timeline that we are following. And we do not -- we have not seen any slowing down in progress that would make us change the timeline. So that is still valid.
Achal Sultania: And a follow-up on the mix. We've talked about the mix in U.S. and in Europe. How should we see the mix evolve in parts of Asia and Latin America as we go into 2013?
Magnus Mandersson: So I think that -- so first and foremost, if we talk about the fact that we have now for a couple of quarters -- and I'm aware that we have said that. We have said that our business mix with more coverage than capacity projects will prevail short-term. And when we define short-term, we define that as between 3 to 4 quarters. And of course since we have decided to keep that statement in this quarter, we see that that's the case. And of course, if you see examples of LTE coverage projects now being rolled out in Latin America, that is the reason why we make, keep the statement.
Achal Sultania: You mean -- so just to clarify, you mean 3 to 4 quarters from now or...
Magnus Mandersson: Short term for us is anything below 4 quarters.
Operator: Francois Meunier from Morgan Stanley is now on line with a question.
Francois Meunier - Morgan Stanley, Research Division: I've got a question about the cash, because for once it's pretty good this quarter. I was wondering you have this target of 70% cash conversion for the year. How do you feel about this target for this year, given you are at 50% today?
Hans Vestberg: First of all, we look at this over a year. Of course, cash conversion is a yearly target and then individual quarter of course can go up and down a little bit what's happening. We're on 52% cash conversion right now. As we said, even after the second quarter, the target for this team is to get to 70% cash conversion. We said in the second quarter. We say it on the third quarter. We're not giving up on that. There are challenges. But we will of course do everything we can to meet that target.
Operator: Sandeep Deshpande from JPMorgan is now on line with a question.
Sandeep S. Deshpande - JP Morgan Chase & Co, Research Division: A couple of questions for me. Hans, can you possibly talk about China and the developments in TD-LTE? I mean you didn't take part in TD-SCDMA. So next year, as China ramps up TD-LTE, you did in GSM have substantial share in China. How do you see your prospects in TD in China starting next year? Secondly, on the modernization, just to clarify, as I thought some of modernization projects would start rolling end of this year, now you're talking about new Latin American modernization. So will there be an improvement in margins starting first quarter of next year year-on-year? Or is the Latin American other modernization going to impact that improvement in margins year-on-year starting the first quarter of next year?
Hans Vestberg: Okay, I think we need to clarify that immediately. There are no modernization we're talking about in Latin America. We've won LTE contract. The European modernization is one thing and that we'll keep separate. Than we have, of course, phases where we do more hardware than software in certain regions all the time. That is our normal business. We always have that. So we don't mix those 2. And you said correctly that the decline at the end of the fourth quarter. We will see a gradual decline of this modernization that we have in Europe. Then it's another thing what type of mix we are referring more of hardware than software, if I make it simple between coverage and capacity. That more is depending on how our customers are purchasing at the moment. We don't confuse that with modernization. Because that was something special where we went for market share in a very competitive environment. I hope that clarified it.
Sandeep S. Deshpande - JP Morgan Chase & Co, Research Division: But sorry, Hans. I mean what about -- I mean, so are you saying that what you have in Latin America is essentially the same all-- essentially new LTE contracts and so that should not have any impact on the long-term trend of your overall margin, which should start showing improvement as modernization rolls off?
Hans Vestberg: Everything equal. If everything is equal and they start roll off the modernization, then of course, it should best. Then you asked about TD-LTE. I guess you want answer the answer on that one as well. You started with the other one. The China TD-LTE, remember now, Ericsson has already been awarded commercial TD-LTE networks. We are running one in Hong Kong for China Mobile and we have in Australia. So we're well into this process of trialing and testing in China. And of course, we have high ambitions to see that we get the market share there. Right now it's still trials and still test beds. So we will see how it comes out. We have a good position on 2G on GSM, as you know. But on TD-SCDMA, we had a very low market share all day [ph]. So we will be there and we -- I think our testing is going well. We are very satisfied with our product. So we're going to see how that turns out when the market shares are sort of distributed. I know that many of our competitors has gone out in the market and talked about their fantastic market share. But we have been instructed from the customer. I'll not talking about any of these. So that's why I'm quiet and following what my customer tells me.
Operator: Richard Kramer from Arete Research is now on line with a question.
Richard Kramer - Arete Research Services LLP: Hans, you said earlier that the business model for Ericsson hasn't changed. And it's hard for a lot of us to look at the last year as anything but a sort of a lost year with sort of very low sales or negative sales growth and decline in profits and share price and whatnot. And with Ericsson still depending on telcos for 90-plus percent of sales then they seem to be in increasing difficulty. Have you considered, from a strategy point of view, whether you need to take actions to diversify your revenue base outside of the telco sector? Again, it's not just consolidating, but many of them, as alluded to earlier, are really struggling. And a question for Jan, if we're seeing such good growth in smartphones. I think you cited a billion-unit figure in your statement, and Ericsson has such a healthy IPR position, why are we seeing a stable development in licensing? And why isn't IPR business that you've created as a separate business unit at the strategy day last year growing and driving much higher earnings in Networks and also partly in some of the other divisions?
Hans Vestberg: First, the first question was diversifying outside of mobile operator or telecom operators. I think we already saw in the third quarter, when we acquired Technicolor, that we're going into other areas. We have defined 3 areas, which we're going straight for: utilities, public safety and broadcasting. Those are using our sort of strength in technology and services. So that is happening as we speak. How much we want to do with that and what pace we want to see. But definitely, we're already doing it. Then the second question was about?
Richard Kramer - Arete Research Services LLP: IPR.
Hans Vestberg: IPRs. Okay, we have a steady development. Of course, we would like to have a even better development. But I think that we have a good sort of cross-licensing business because we also have many peers that also have patents. I think we have a good cross-licensing model that we have been working on for quite a long time. So of course, it was going to be growth in all this. We also believe we can grow that and that's why we broke it out in order to have more focus on it.
Åse Lindskog: We can take one final question.
Operator: Kai Korschelt for Deutsche Bank is now on line with a question.
Unknown Analyst: I just had a quick one on Q4 on -- more revenues and networks. Looks like some of your peers are guiding for sort of flattish or certainly a sub-seasonal Q4. If I then assume that maybe some of the European activities starts to slow as well. I'm just wondering should we look at Q4 directionally as maybe a sub-seasonal quarter or do you think that some of the emerging markets can compensate for that? That was my first question. The second one was just on the Services business. If I exclude the Network Rollouts, it looks like you had very strong revenue growth, double-digits, but looks like the margin is kind of stuck in a sort of 16% range. And just wondering, is there no operating leverage in the business? And we should just assume that the margin stays around the same level even as you continue to add contracts and business here or are there any temporary levers that impact this?
Johan Wibergh: But anyway if we talk first about the seasonality there, I think earlier, I answered the seasonality question quite well. I think typically if we look at our company -- and not our competitors. So if look at our company, typically we have the fourth quarter being our biggest quarter in terms of revenue. And let's see if this quarter will be like most other quarters have been. We'll come back to that. On the services side, I think we see significant operating leverage. Because what we have is obviously, a good growth in Managed Services. And despite that, we managed to keep the operating margins in the Professional Services stable and also somewhat improved. So I think the Services business is really performing well. And it's also proof point that our service delivery transformation that has been ongoing for few years but even somewhat more accelerated this year is delivering good savings and really gives us scale leverage.
Åse Lindskog: So thank you very much then. And I would also like to take the opportunity to invite you to our Investor Day here in Stockholm on November 6. And if you cannot join us here in Stockholm, you are most welcome to watch the live webcast then on our dotcom site. So by this, I conclude our 3Q earnings call and we wish you all a very good day. Thank you.